Operator: Good day, and welcome to the Land's End First Quarter 2022 Earnings Conference Call. At this time, all participants are in a listen-only mode. After the speakers presentation, there’ll be a question-and-answer. [Operator instructions]. As a reminder, this call may be recorded.  I would now like to turn the call over to Bernie McCracken, Chief Accounting Officer. You may begin.
Bernie McCracken: Good morning, and thank you for joining the Land's End earnings call for a discussion of our first quarter fiscal 2022 results, which we released this morning, and can be found on our website, LandsEnd.com. On the call today, you will hear from Jerome Griffith, our Chief Executive Officer, and Jim Gooch, our President and Chief Financial Officer. After the Company's prepared remarks, we will conduct a question-and-answer session. Please also note that the information we're about to discuss includes forward-looking statements. Such statements involve risks and uncertainties. The Company's actual results could differ materially from those discussed on this call. Factors that could contribute to such differences include, but are not limited to, those items noted and included in the Company's SEC filings, including our annual report on Form 10-K and quarterly reports on Form 10-Q. The forward-looking information that is provided by the Company on this call, represents the Company's outlook as of today, and we do not undertake any obligation to update forward-looking statements made by us. Subsequent events and developments may cause the Company's outlook to change. During this call, we'll be referring to non-GAAP measures. These non-GAAP measures are not prepared in accordance with Generally Accepted Accounting Principles. A reconciliation of non-GAAP financial measures to the most directly comparable GAAP measures, can be found in our earnings release issued earlier today, a copy of which is posted in the Investor Relations section of our website at LandsEnd.com. With that, I will turn the call over to Jerome Griffith.
Jerome Griffith: Thank you, Bernie. Good morning, and thank you for joining us today for a discussion of our first quarter results. Let me begin by expressing my gratitude to our team, who continue to demonstrate fortitude and agility as we navigate the ongoing supply chain challenges, the changing consumer landscape, and the difficult macro conditions. By actively managing our cost structure during this challenging period, we achieve adjusted EBITDA results within our expected range in the first quarter. Revenue for the quarter was down 6% versus 2021, but up 16% compared to 2019. We are seeing supply chain and macro pressures impact our global direct consumer e-commerce business. However, we continue to see growth, with strong performance across our Outfitters business, and in our third-party distribution channels. With our proven digitally-led business model, combined with our strategic pillars of growth and proven success in executing our strategic initiatives, we remain confident in the long-term growth potential of our business, despite the challenging period. Touching on the quarter, a number of factors impacted our topline results, including ongoing supply chain delays that continue to impact the flow of new styles and colors. In addition, we saw on industrywide slowdown in e-commerce traffic, particularly in the apparel category. Furthermore, unprecedented inflation in food and fuel impacted discretionary spending for many consumers. These challenges led to an associated decline in our buyer file for the quarter compared to last year. Given our highly loyal customer base with an average tenure of 18 years, we are confident that as inventory flow normalizes and the macro headwinds subside, these customers will return and we will be ready to meet their needs. While we navigate these headwinds, we continue to control what we can and leverage the strength of our digitally-driven operating model to advance our strategic growth pillars.  Next, I will highlight our progress across these strategic growth pillars, including product, digital, unit channel distribution, and infrastructure. Starting with product, our one closet versatile assortment continues to resonate with our customer. In both men's and women's, we're seeing demand for products that complement an evolving lifestyle, with made to move fabrics that can be dressed up or down. With the trend in hybrid workplaces, we're seeing comfort-based products resonate well, particularly in our men's business. We saw strong demand for our performance Chino, five pocket denim, and other styles that easily transition from working at home or at the office, to social gatherings. Similarly, in women's, we saw that cowl neck tunics and leggings and stretch fabrications, receive favorable response. We remain pleased with the continued strength and swimwear during the quarter, as we lean into the versatility that makes our swimwear offerings cross over from performance to casual. In addition, outerwear was a strong category during the quarter, coming out of the winter months and into early spring, as weather remained cooler. We continue to emphasize our let’s get comfy messaging with our one closet focus, while at the same time highlighting the versatility of our product. As our customers’ needs evolve, we plan to leverage our data analytics to adjust product assortment to adapt to these changes. Turning to marketing, we continue to make investments designed to drive customer engagement and brand awareness. The results we have seen are encouraging, and we plan to lean into refining search and improving the effectiveness of our catalog. Importantly, we continue to leverage our data-driven promotional strategies to optimize margin as the overall environment becomes more competitive. As in the past, our marketing initiatives remain focused on driving long-term customer growth. We mentioned last quarter that we engaged Gary Vaynerchuk’s VaynerMedia agency to accelerate our new customer acquisition, and that a brand campaign exploration was underway. As we head into fall, this top-of-funnel brand marketing campaign will allow us to showcase our product with a more aspirational out in the world approach across all channels, including catalog, social media, and our own website. The desired result is to develop a campaign to elevate and differentiate the Lands’ End brand from our competitors. Turning to our third-party partnerships, our initial on-air launch with QVC in April was highly successful and exceeded our expectations. The category of focus was swimwear, and we saw an incredible response to our products, most notably board shorts, tankinis, and board skorts. Following a successful launch, we are looking at opportunities for the fall holiday season. In addition, we are discussing an expanded offering for spring and summer next year. We remain pleased with our Kohl's partnership, specifically within the swim category, where we expect to increase our swim offering to over 100 incremental doors this summer, and are excited by the long-term growth opportunity with Kohl's. As mentioned last quarter, we're now present in 300 doors and offer our full assortment on Kohls.com. We also remain on track to build on this momentum and be in 500 doors by fall, which will bring our total Kohl’s store count to over 600 doors in 2022. We will continue to build on our existing partnerships, while simultaneously seeking new partnership opportunities in additional channels. As mentioned last quarter, we expect to launch one to two new partnerships in 2022, and we look forward to providing an update on future earnings calls. Turning to our Outfitters business, we saw improved performance, with growth across all business lines during the quarter. This was in part due to particular strength in our national accounts. Our small and medium-sized accounts performed very well as in-person events such as trade shows, continue to return. Lastly, demand for school uniforms was very strong during the quarter. We expect demand for leisure travel, in-person company events, and in-person schooling, to continue to drive growth in our Outfitters business. Turning to infrastructure, we continue to reinvest in our business to improve our operational efficiency and leverage advancements in technology to enhance our customer experience. We're in the process of our multi-year warehouse management system implementation, which will also encompass transportation management at a time where so much industry focus has been given to the movement of product. Overall, despite the challenges we faced in the first quarter, we were able to deliver adjusted EBITDA in line with expectations, demonstrating the agility of our business model. At the same time, the team did not miss a beat in executing across product marketing and our strategic initiatives, while also driving growth in our third party and Outfitters businesses. With that, I will turn it over to Jim. 
Jim Gooch: Thank you, and good morning. We're pleased to have achieved adjusted EBITDA in line with our expectations, despite challenging macro headwinds that impacted our topline and created incremental cost pressures. While we expect these challenges to continue in the near-term, we remain confident in our strategic growth pillars, as well as the long-term health of our business. For the first quarter, as compared to last year, total revenue decreased 6% to $304 million. As expected, we continued to experience transportation delays through the quarter, which negatively impacted our in-stock position in certain key items, resulting in lost sales. Our global e-commerce sales decreased 16% from 2021. Within that, our US e-commerce business decreased 14%, and our international business decreased 22% from 2021.  Revenue for our third-party business continues to be very strong, increasing to $22 million, a $10 million improvement or 83% compared to last year. This increase was largely driven by strong performance at Kohl's and Amazon, particularly within the women's apparel and swim categories at Kohl's. In addition, we added another partner in the US, with our QVC on-air launch in April. And even though it's early, we're extremely pleased with the results. In our Outfitter business, sales increased 33%, driven by strength across all three business lines. We continue to see growth in our national accounts. We're very pleased to have seen our small to medium-sized businesses also show strength during the quarter, as the return to in-person events increased the need for customized apparel. And lastly, we are seeing high demand in our school uniforms, with increased basket sizes demonstrating strong demand heading into the back-to-school season. Moving to our retail business. During the quarter, we delivered revenue of $9 million, with the performance of our US same store sales increasing approximately 4% from the first quarter of 2021. Gross margin in the first quarter decreased to 42.5%, approximately a 350-basis point decline from 2021. The margin pressure was entirely a result of an incremental $14 million in supply chain costs when compared to first quarter of 2021. We expect these costs to remain elevated through the remainder of the year. That said, we are encouraged to see some stabilization in transportation costs, as carriers have now begun honoring contracted rates. As a percentage of sales SG&A was 38.1%, a decrease of approximately 100 basis points versus 2021. The basis point reduction was driven by continued expense controls and lower marketing spend, partially offset by de-leverage on lower sales.  Our performance led to a net loss for the quarter of $2.4 million or $0.07 per share, compared to net income of $2.6 million or $0.08 per share in 2021. In addition to these GAAP measures, adjusted EBITDA is an important profitability measure that we use to manage our business internally. For the quarter, adjusted EBITDA was $13.8 million, compared to $22.5 million in 2021. Looking at the balance sheet, inventories at the end of the quarter were $437 million, compared to $394 million a year ago, entirely driven by higher in transit shipments, and increased transportation costs due to the global supply chain challenges. We expect our inventory to remain elevated for the next couple of quarters, as we have extended our seasonal product calendars to account for the longer lead times, and trying to avoid potential delays. That said, we expect the second quarter to remain challenged from an in-stock position. Regarding our debt levels, at the end of the first quarter, our term loan balance was $254 million and our $275 million ABL at $125 million of borrowings outstanding. This fall will hit the two-year anniversary of the term loan, which brings added flexibility to prepay the debt. We've begun exploring refinancing options that could drive shareholder value, and we'll update you over the next couple of months. With that context in mind, for the second quarter, we expect net revenue to be between $335 million and $350 million. We expect a net loss of $6 million to $3 million, and diluted loss per share to be between $0.18 and $0.09. We expect adjusted EBITDA to be in the range of $10 million to $14 million. Our guidance for the second quarter incorporates approximately $13 million in incremental shipping expense as a result of elevated global supply chain costs. We're also updating our full year guidance. For the full year, we now expect net revenue of $1.62 billion to $1.68 billion. We expect a net income of $20 million to 29 million, and diluted earnings per share to be between $0.60 and $0.88. We expect adjusted EBITDA to be in a range of $100 million to $112 million. Our guidance for the full year incorporates approximately $35 million in incremental shipping expense. This guidance assumes gross margin pressure begins to abate in the second half, as we lap higher global supply chain costs. With that said, I'll turn the call back over to Jerome.
Jerome Griffith: In spite of the macro challenges we are experiencing, the fundamentals of our business remain strong. As we continue through 2022, our strategy will remain the same. We will leverage our digitally-led business model to advance our four strategic pillars of growth, which include product, digital, unit channel distribution, and infrastructure, across all of our businesses. We remain confident in the long-term outlook that we provided in January for several reasons. We have strong brand heritage, with a highly loyal customer base. We offer the right quality value relationship they look for. We continue to diversify both our consumer and Outfitters businesses across channels. And finally, we remain committed to reinvesting in our infrastructure to support long-term growth in our business.  With that, we will now take your questions
Operator: [Operator instructions]. Our first question comes from Dana Telsey with Telsey Advisory Group. Your line is open.
Dana Telsey: Good morning, Jerome, and Jim. Wanted to get an expanded discussion perhaps on two - a couple of things. First, the debt profile and how you're thinking about that over the next few months, what the options could be, and what that could look like. Jerome, on Kohl's, how is that doing? It sounds like the expanded product categories are working. And what does that mean for potential other third-party opportunities? And then lastly, you had mentioned in the guide that gross margin has the opportunity to improve in the second half. Where do you see that coming from? Are you taking price and how has that been received? Thank you.
Jim Gooch: Thanks, Dana. Thanks for all those questions. Maybe I'll take the first one on the debt, and probably aren't in a position to give you necessarily any more specifics as to what our plan is on this point, but I would maybe comment a little bit on the process. As I mentioned that beginning of September, certainly gives us more flexibility on possibly refinancing the debt, but we're certainly not waiting until then. I would say that that we're already well into our process. And as far as options, I would say all of the options are on the table and we're looking at any and all options at this point. And I say that - I do hope to come back to everybody well before September, the coming months, but I certainly hope to be back before then. And at that point, I think we’d be in a better position to share all the specifics and what our plan will be.
Jerome Griffith: And I'll start off with Kohl’s, Dana. Thanks for the question. Third party has actually been pretty good for us. We've been very pleased with what the results look like. And what we're seeing is that our best sellers on our own website seem to be the best sellers everywhere, whether it's in somebody else's store or on a third-party marketplace website. Swim was an outstanding category, though swim is an outstanding category for us overall over the first quarter of this year. And what we see going down the road is expansion into stores, which, what we're seeing as we go into more Kohl’s stores, is that our online business also picks up. So, it's one business helping the other. QVC was a great launch for us, well exceeded everybody's expectations this past month, and what we're expecting is to expand that offering going into the back part of this year, and then the next. We're also looking for other opportunities, which we're well underway with that. From a gross margin standpoint, what we're seeing is, on the product margin, we've been performing relatively well. We've been handling the raw materials increases, very good with price increases. And we haven't really seen any major pushback from consumers on increased price. What we're seeing is, less people shopping on the web. But from how we're managing the increases in raw materials, we've been pretty pleased with what the results look like there.
Dana Telsey: Got it. And then …
Jim Gooch: Yes. And maybe to add to that a little bit, Dana, too, another benefit that we have built into the back half will be some of this normalization from a freight charge perspective. We gave you the numbers, the incremental freight for the first and the second quarter, and that's the majority of what we're anticipating seeing for the full year. So, when we get into the back half of the third quarter and into the fourth quarter, we're going to be up against comparables of a much higher freight rate. So, that should also give us some benefit in the gross margin.
Dana Telsey: Got it. And then on driving traffic to the web, your top-of-funnel marketing that you're initiating, when do we begin to see that, and how do you think about driving traffic to the web? Thank you.
Jerome Griffith: Our expectation is that you'll start to see some results for that in the back part of Q3 and Q4. That's really when we think we have the biggest opportunity coming up this year. And what you'll - should really be seeing is more top-of-funnel. We've been looking at bottom-of-funnel, and I think we do a really good job, particularly with SEO. But we've got other opportunities in bringing in newer customers to the brand. And we've not really done a lot of top-of-funnel marketing over the course of the last couple of years. So, I think it's going to be worthwhile for us, and it should be exciting to see.
Dana Telsey: Thank you. 
Operator: Our next question comes from Alex Fuhrman with Craig-Hallum Capital. Your line is open.
Alex Fuhrman: Hey guys. Thanks for taking my question, and congratulations on hitting your Q1 EBITDA guidance, not a lot of companies doing that recently, given all of the headwinds. So, certainly a strong quarter here. Wanted to ask about the slowdown in demand that you and everyone else are seeing and the e-commerce sales being down. I mean, are there kind of generalities in what consumers have been pulling back on? It certainly seems from what we read and hear from others is that, people are kind of shifting there, spending more into services and experiences and that probably makes sense, given what you're seeing with the strength in swim. What categories have people been pulling back on.
Jerome Griffith: From an apparel standpoint, pretty much across the board. There's no one category I would say, Alex, that they've been focusing on, but really all of apparel. Where people seem to be spending their money right now is food and fuel. I mean, those two commodities are definitely being driven up in price, and I think that's hurt us, particularly being up against a couple of really great quarters a year ago, and there was a lot of stimulus money out there and people were still looking for - working from home and looking for comfortable clothing to work at home. So, I think that's generally what you're seeing. And we're waiting to see what the future looks like for us.
Alex Fuhrman: Great. That's helpful, Jerome. And then can I ask about just the gross margin outlook? I mean, it sounds like the biggest variable here is supply chain costs and you guys have done a really good job over the past couple of years, managing prices and markdowns, but this is probably the first time we've seen a really kind of sudden drop in demand across the board here. And I would imagine your category that's most at risk for markdowns is swimwear. So, good to hear that that category is going well. But can you talk about a little bit, what your expectations are for markdowns and what's kind of baked into the guidance here?
Jim Gooch: Yes. Actually, we feel pretty good about our overall quality of inventory, even though we're showing a higher inventory, that's more about going forward than it is about excess inventory coming out of the season. That entire increase in inventory is either the result of us trying to pull forward as many receipts as we can to try to improve the in-stocks because the supply chain has been so choppy and the flow of inventory has been so choppy. Or remember that these added freight costs end up getting capitalized into inventory. So, that's also driving up the inventory value. So, we don't have a significant amount of added markdowns built into that forecast because our inventory is in pretty good shape.
Alex Fuhrman: Great. That's really helpful. Thanks, Jim.
Operator: Thank you. That concludes our question-and-answer session. Thank you for joining today's conference call. This does include the program and you now disconnect. Everyone, have a great day.